Operator: Good morning. My name is Darla, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 FY '14 earnings release conference call. [Operator Instructions] I would now like to turn the call over to Gerry Gould, Vice President, Investor Relations. Please go ahead.
Gerard J. Gould: Thank you, and good morning. Thank you for joining Haemonetics' Second Quarter Fiscal '14 Conference Call and Webcast. I'm joined by Brian Concannon, President and CEO; and Chris Lindop, CFO and Executive Vice President of Business Development. Please note that our remarks today includes statements that could be characterized as forward-looking. Our actual results may differ materially from anticipated results. Additional information concerning factors that could cause the actual results to differ materially is available in the Form 8-K we filed this morning, as well as in our recent 10-K and 10-Qs. On today's call, Brian will review the business highlights of the second quarter. Chris will review operating performance for the quarter and guidance for fiscal '14 in more detail. And then Brian will close with summary comments. Before I turn the call over to Brian, I would like to mention the treatment in our adjusted results of certain items, which by their nature and size, affect the comparability of our financial results. Consistent with our past practice, we have excluded certain costs from the adjusted financial results we'll talk about today. In total, we excluded $19 million of pretax transformation and integration costs from our second quarter fiscal '14 adjusted results; and $24 million of pretax restructuring and transformation cost in the second quarter of fiscal '13. Additionally, the earnings information discussed within excludes deal-related amortization expense. Prior period amounts have been similarly presented to permit comparison. Deal-related amortization expense excluded from adjusted earnings totaled $7 million in the second quarter of fiscal '14 and $6 million in our second quarter of fiscal '13. Further details, including comparison with fiscal '13 amounts excluded, are provided in our Form 8-K and have been posted to our Investor Relations website. Our press release and website also include a complete P&L and balance sheet, as well as reconciliation of our GAAP and adjusted results. With that, I will turn the call over to Brian.
Brian P. Concannon: Thank you, Gerry, and good morning, everyone. This morning, we released results for our second quarter and we updated guidance for the rest of fiscal '14. Our comments will be focused on these 2 areas. We expected that revenue would rebound in the second quarter, but would remain challenged leading into the second half of our fiscal year. This was the case, especially in the U.S., where blood usage continues to decline at rates that exceed anything that was expected. The highlight of our quarter was the profitability we delivered in spite of the softer revenue environment, giving confidence to the earnings power of this business. Organic or base revenue, which we define as all but our whole blood business, was down 1% as reported and up 2% on a constant currency basis. Hedges, while designed to protect our earnings from currency fluctuation, leave a portion of our revenue unhedged. This exposed us to a 240 basis points, to a $4 million negative impact on our reported revenue in the quarter. Profitability in the quarter included an adjusted operating margin above 20% and adjusted earnings per share of $0.66, up 24% over the prior year second quarter. Let me focus first on revenue. While recent blood collection declines are negatively affecting some parts of our business, there was strong growth in the second quarter in other parts of our business, particularly in Plasma, TEG diagnostics and emerging markets, led by China and Russia. Our Plasma business grew in excess of $7 million or 10% as reported and 13% in constant currency. Strong end-market demand for plasma-derived biopharmaceuticals continues to fuel plasma collections. TEG continued its impressive growth trajectory, up 15% in the quarter, with continued double-digit growth expected for the remainder of the fiscal year. And in the emerging markets of China and Russia, we had over $3 million of disposables revenue growth. These 2 countries continue to represent the largest growth potential of all emerging markets, with 28% and 18% organic disposables growth, respectively, in the second quarter. These 3 parts of our business, Plasma, TEG and the emerging markets of China and Russia, represented approximately $100 million of the revenue in the second quarter or 52% of our base business, again, defined as revenue other than from whole blood. This 52% of our base business had $10 million or 12% growth in the quarter. This was no accident. You may recall that these very opportunities were identified as growth drivers a year ago and we invested some of our incremental whole blood profits in these areas to drive this growth. It's important to recognize that a substantial portion of our business portfolio is delivering solid growth and we remain encouraged with the prospects for continued growth there. The other half of our base business is cell salvage and blood component collection, and declines in these parts of our business offset the growth I just noted. So let me take you through these declines and look at what's happening here and when we can expect this to turn around. As noted in today's press release, blood center revenue in the U.S. continues to be under pressure due to a rapid decline in demand for blood products. Hospitals are increasingly implementing blood management techniques and protocols, reducing blood shed during surgical procedures and decreasing the frequency of allogeneic transfusions. Average red cell transfusions in the U.S. have been trending down in recent years. We've seen that pressure previously in our double red cell products, as 85% of this business for us is in the U.S. And despite this decline, at today's level of 40 transfusions per 1,000, the U.S. still compares unfavorably with best practice, where red cell transfusion rates are in their low-30s per 1,000. The experts now believe, and we would agree, that average red cell transfusions in the U.S. population are likely to drop from approximately 40 per 1,000 to about 33 per 1,000 by the end of our fiscal '15. This means that transfusion reductions that we previously expected to occur over a 5- to 10-year period are now expected to occur over a 2-year period, our fiscal years '14 and '15. We're halfway through the first of these 2 years, so the decline in blood center collections previously believed to be at least 5% annually, now appears to have accelerated to at least 8%. Our U.S. blood center customers are reacting to these changes. Responsive strategies within the blood collection market include rapid consolidation and the formation of affiliations, with a focus on operational efficiency and on direct supplier costs. Just this quarter, 5 large blood centers in the U.S. combined to form a new alliance called Hemic cell [ph]. The American Red Cross and Hemic Cell [ph] now represent approximately 60% of all U.S. collections. These large U.S. blood collector customers are now pursuing competitive single-source supplier strategies, utilizing tenders aimed at minimizing disposable costs, so pricing has become one of the key drivers. Clearly, our Value Creation and Capture initiatives will position us well to compete in this new environment. Additionally, these customers are signaling the importance of them becoming more relevant in this rapidly changing blood management environment, as they work to reduce the total cost of collection, improve the quality of the blood components collected, ensure compliance and work with their hospital customers to improve logistics and enhance their patient blood management initiatives. The work we've done focusing on blood management solutions positions us very well to support our customers in each of these areas. So what does all this means? Blood collections in the U.S. are now expected to decline by about 8% in fiscal '14, so we're revising our base blood center guidance, aside from whole blood, to on overall 5% to 8% decline for fiscal '14. In the U.S., whole blood revenue will also experience a greater second half decline than previously expected. This is the result of the weak outlook for the blood collection market, a delayed customer tender that was expected to represent a current period share gain opportunity, and a transitional OEM supply contract with Pall Corporation that recently expired. This expiration, the timing of which was not known until recently, frees up capacity in our Mexico facility that will facilitate our ongoing manufacturing VCC initiative. We now expect whole blood revenue of approximately $190 million in fiscal '14. Though we expect challenges in our U.S. blood collection business for the remainder of fiscal '14, challenges that will continue through fiscal '15, we expect our VCC initiatives to position us to compete on price, and our blood management solutions to represent important value that will allow us to capture significant market share beginning in fiscal '15, offsetting collection declines. In the surgical business, our growth in the first half of last year was attributable to the impact of a natural disaster on a competitor that is now returned to the market with aggressive pricing. This resulted in the loss of much of the business that was gained in Europe and Japan as customers resumed using the competitive device. The adoption of transemic (sic) [tranexamic] acid to treat and prevent postoperative blood loss continued to lessen hospital use of OrthoPAT disposables. Customer acceptance trials for OrthoPAT Advance continue and we're launching it to a limited number of customers in North America. The growing use of transemic (sic) [tranexamic] acid to control postsurgical orthopedic blood loss obviates the need for transfusion for some orthopedic procedures. Our current year projections for OrthoPAT disposables revenue are appropriately tempered. As a result, we've reevaluated our organic revenue guidance and have reduced it 1 percentage point, from its previous range of 1% to 3% to a revised range of 0% to 2%. These annual growth rates reflect our continued expectation for 2 percentage points of currency headwinds. This represents an organic constant currency growth rate of 2% to 4%, solid growth considering the softness in certain markets we serve. Despite the challenges, our second quarter profitability resulted from manufacturing productivity and cost efficiencies that more than offset the impact of a revenue mix toward lower-margin whole blood and plasma disposables. We achieved 120 basis points of adjusted gross margin improvement. The combination of improved gross margin and disciplined expense management led to an adjusted operating margin of 20.8%, up 260 basis points. So in summary, overall revenue growth continues to be muted by U.S. blood collection and hospital market dynamics and we've adjusted our top line guidance to reflect this. Our projections for organic constant currency growth of 2% to 4% in a soft market reflect the progress we're making in driving blood management solutions. Our earnings are on track, underpinned by a strong Q2 performance and we've affirmed our earnings per share guidance of $2.30 to $2.40 per share. Now I'll turn the call over to Chris Lindop, who will review the financial highlights of the quarter and our current thoughts on guidance. Chris?
Christopher J. Lindop: Thank you, Brian. In the second quarter of fiscal '14, total revenue was $236 million, up 8%. Base business revenue, in other words aside from whole blood, declined 1% as reported and increased 2% on a constant currency basis. The weakness of the yen versus the U.S. dollar resulted in 240 basis points of headwind to our revenue growth rate in the quarter. Our hedges are designed to protect our operating income over a rolling 12-month period, leaving a portion of our revenue unhedged and, therefore, susceptible to changes in foreign currency rates. This currency trend is expected to impact growth rates throughout fiscal '14 and into fiscal '15, as we have already logged in hedge rates for the majority of next fiscal year. Plasma disposables revenue, which was $75.7 million in the quarter, increased by over $7 million or 10% as reported and 13% in constant currency. Importantly, North American plasma disposables revenue grew $6 million or 14%, and our customers continue to be optimistic about end-market demand. In Australia and New Zealand, we benefited from the transition to a new direct selling approach, which contributed 2% to our overall plasma growth in the quarter. Our guidance range for plasma growth in fiscal '14 is affirmed at 7% to 9%. We are well-positioned with customer contracts covering over 98% of our commercial plasma business through Q3 of fiscal '15. Blood center disposables revenue, not including whole blood, declined 9% to $50 million, with red cells down 14% and platelets down 8%. The red cell disposables revenue decline was driven primarily by the U.S. market decline, which Brian outlined. Strong platelet growth in China was more than offset by $1.8 million of currency impact from the weakening yen and declines in other markets, as our distribution partners adjusted their inventory levels. In the first half, our Japan platelet business was affected by order timing, up 11% in constant currency in the first quarter and down 6% in constant currency in the second quarter, so up 2% year-to-date. All in, we now expect our base blood center business to be down between 5% and 8% organically in fiscal '14. We will continue to pursue our strategy of increasing red cell market penetration and product share with our IMPACT Program. Our Acrodose product, which helps customers recover a clinically equivalent platelet product from whole blood and our Universal Platelet Protocol product, which improves the effectiveness of our existing platelet apheresis platform, both represent opportunities to achieve near-term blood center disposables growth. Whole blood revenue was $47 million compared with $29 million for the 8 weeks post-acquisition in the prior year second quarter. Revenue was $31 million in North America, $11 million in Europe and European distribution markets and $5 million in Asia Pacific and Japan. Whole blood revenue in Europe was flat sequentially to the first quarter, as new stocking orders in the European distribution markets offset the loss of a low margin tender. North American revenue declined by $4 million sequentially, reflecting normal seasonality and the trends in demand for red cells, which Brian described. Near-term growth in this business will be predicated on share gains. As Brian mentioned, blood center customers are responding to the declining markets with rapid consolidation and operating affiliations. To manage costs, large U.S. blood collector groups are pursuing competitive single-source supplier tenders. Competition has intensified and pricing has become one of the key drivers. Considering the weak U.S. blood collection market, the delay in the customer tender that was expected to represent a current period share gain opportunity and the impact of a transitional OEM supply contract that recently expired, we now expect approximately $190 million of whole blood revenue in fiscal '14, about $15 million less than previously indicated. Hospital revenue declined 8% to $31 million in the quarter. Surgical disposables revenue was $16 million in the quarter, a decrease of 13%. We know that currency cost is over 300 basis points of growth again this quarter. Additionally, as Brian mentioned, a competitor returned with aggressive pricing, and this continued to drive weak revenue performance in our surgical business. We anticipate a return to growth in the second half, as we anniversary a tough comparable relative to last year's share gains. OrthoPAT disposables revenue of $6 million was down 18% in the quarter. The increased use of tranexamic acid and lower transfusion triggers by hospital customers represent the market challenges for OrthoPAT. Benefits from introducing the OrthoPAT Advance will be more than offset by the market declines associated with patient blood management advances, including tranexamic acid and lower transfusion rates. We have tempered our expectations accordingly. In diagnostics, TEG disposables revenue was $8 million, up 15% in the second quarter, driven by increases in North America and emerging markets. We installed 315 TEG devices in the first half of fiscal '14, immediately following 425 devices installed in fiscal '12 and 675 devices in fiscal '13. We fully expect the strong TEG disposables growth to continue. Considering the current weakness and OrthoPAT market headwinds, we are affirming a range of 0% to 3% growth in our hospital disposables business in fiscal '14, but with a bias towards the low-end of that range, as growth in TEG will be offset by the OrthoPAT decline. Software solutions revenue was $17 million, down 5%. And this is not indicative of the current strong pipeline of software opportunities that we expect to drive revenue growth for the remainder of this fiscal year. An element of this growth is HCA's plan to move forward with installation projects based on the master agreement we have in place for SafeTrace Tx and BloodTrack. Hospital customers increasingly recognize software's importance in identifying and implementing blood management solutions. Equipment revenue was $15 million in the quarter, up $1 million or 4%. Particular strength was seen in TEG equipment sales in North America, Russia and China. Variations in equipment revenue are influenced by the timing of orders, tenders and capital budgets. Second quarter fiscal '14 adjusted gross profit was $123 million, up $12 million or 11%. Adjusted gross margin was 52.3%, up 120 basis points year-over-year. Productivity improvements more than offset the revenue mix shift towards lower-margin whole blood and plasma disposables. Adjusted operating expenses were $74 million in the second quarter, up $2.5 million or 4%. The inclusion of a full quarter's whole blood expenses represented a $5 million increase. We continued our commitment to funding planned growth in infrastructure investments, while responsibly managing other spending initiatives, including a further reduction in variable compensation in light of reduced revenue expectations. We plan to go forward with increases in R&D spending in the second half of fiscal '14, as this relates to the introduction of new products. Accordingly, operating expenses will increase in the back half of fiscal '14. Adjusted operating income was $47 million -- $49 million, excuse me, in the quarter, up $9.3 million. And as Brian pointed out, operating margin of 20.8% was up 260 basis points. This continued operating discipline enabled us to make investments in key initiatives that will be meaningful to our future growth profile. The planned ramp-up of key R&D expenses in the back half of the year will deliver a full year operating margin approximating 19%. Interest expense associated with our loans was $2.4 million in the quarter. Our tax rate was favorable at 26.2% in the quarter or 140 basis points below last year's second quarter, reflecting the ongoing implementation of our global tax strategy. For the full fiscal year '14, we still expect our tax rate to normalize at around 26%. With the operating income growth and favorable tax rate, adjusted earnings per share reached $0.66, an increase of 24%. Summarizing our revenue guidance, we expect plasma disposables to grow approximately 7% to 9%; blood center disposables to decline 5% to 8% on an organic basis; hospital disposables to grow 0% to 3%, with a bias towards the low end of that range; and software to grow 5% to 7%. Overall, we expect organic revenue growth of 2% to 4% in constant currency and 0% to 2% on a reported basis. Adding expected whole blood revenue of approximately $190 million, we now expect total revenue growth of 5% to 7%. On an adjusted basis, our gross margin is expected to approximate 52%, up 140 basis points over fiscal '13 and operating margin, excluding deal amortization, is expected to be roughly 19%, up approximately 200 basis points. We are reaffirming our previously provided adjusted EPS range of between $2.30 and $2.40, excluding $0.37 of deal amortization. As in the past, our website includes revenue and income statement scenarios, which are based on the elements of guidance provided in my comments for the full year. We ended the second quarter of fiscal '14 with $159 million of cash, down $7 million in the quarter and down $20 million in the first half of the year. This reflects an investment of $23 million for the acquisition of the assets of Hemerus Medical in the first quarter and $20 million of debt repayment in the second quarter. We generated $35 million of free cash flow in the second quarter, after making net investments of $15 million in net capital expenditures and before funding $21 million of cash transformation costs. We generated $49 million of free cash flow before transformation costs in the first half of fiscal '14, up $27 million, more than double the first half of fiscal '13. In fiscal '14, we expect a free cash flow generation of $120 million or $2.30 per share, before funding restructuring and capital investments related to our transformation activities, reflecting a conversion rate of adjusted earnings to free cash flow of approximately 1x. As detailed in the schedule in our website, we still plan to utilize $109 million of free cash flow to fund $37 million of capital expenditures and $72 million of transformational expenditures associated with our manufacturing transformation and other VCC initiatives in fiscal '14. In addition to the $20 million of debt repayment in the second quarter, we anticipate making an additional $17 million of debt repayments during the second half of fiscal '14. Again, we have included no net benefit in our fiscal '14 guidance for our VCC initiatives and the manufacturing network transformations. Current period activities will principally be capital investments and technology transfers associated with the transformation. We expect to realize $21 million of benefit in fiscal '15, which will ramp up by fiscal '18 to a targeted level of $40 million to $45 million in annual savings. With that, I'll turn the call back over to Brian.
Brian P. Concannon: Thanks, Chris. In addition to our commercial Plasma business, which delivered another quarter of impressive growth, the areas that showed strong growth in the second quarter were those we identified as growth drivers a year ago: TEG and emerging markets. We funded those growth initiatives and they continue to pay dividends for us today. In the opposite direction, certain U.S. market conditions caused second quarter revenue to fall short of our expectations, market conditions that will continue for the remainder of the fiscal year, making it necessary to update our revenue guidance. These are the red cell and whole blood collection markets and the hospital cell salvage market. The adoption by hospitals of comprehensive patient blood management was expected. We embrace it and, in many cases, we're leading it. But the speed of adoption and its effect on blood collections is considerably more intense than we or anyone else anticipated. Blood centers are consolidating, reducing staff and other costs and creating alliances. The use of a single-supplier tender to reduce cost is becoming more common and has further intensified competition. The selection criteria for whole blood collection kits have been increasingly based on price, and our competitors have responded very aggressively. We expect this to continue and to remain the new norm. Over the intermediate and longer-term, this bodes well for us, as our VCC initiatives provide us with a better cost position and our suite of blood management products and services increasingly meet the needs of both our hospital and blood center customers. These product opportunities include utilization of our TEG products to monitor hemostatis, our SafeTrace TX and BloodTrack products to manage blood inventory and reduce waste, our cell salvage products to provide autologous autotransfusions, and our IMPACT Online to measure blood usage and results from patient blood management programs. These are solutions our hospitals need and solutions our blood center customers are seeking as they move with us to meet the needs of their end customers. But the immediate situation requires that we respond with less spending, including variable compensation, and we've done so. We've taken the appropriate measures to deliver our earnings commitments but with an unwavering commitment to the R&D projects needed for future growth, such as the timely introduction of the differentiating SOLX blood storage solution and the automation of whole blood collection. In the category of business highlights, I'd like to mention a few. Plans for pursuing FDA approval of the SOLX solution for 24-hour storage of whole blood are on track and progressing as expected. We're still anticipating a fiscal '14 approval. Additionally, the work to qualify the SOLX solution for use with the filter technology acquired in last year's whole blood acquisition has begun and is on track for fiscal '15. The next launch of our automated whole blood product, bringing paperless phlebotomy to the mobile drives of blood center customers, is on track with 2 additional customers having accepted the offering. The launch of the communications tower, our next phase of the solution, which enables customers to support mobile drives, is on schedule. We remain focused on realizing the benefits of our VCC initiatives, including transforming our manufacturing network. These activities are important to sustaining our quality, service and cost competitiveness for years to come. I'm confident in our plans to execute, and we expect that the VCC initiatives will enhance our business capabilities, permanently rationalize our cost position and in doing so, position us to pursue market share and growth through differentiation. The steps we've taken over the past several years have put us in a good position to react to the current marketing dynamics. We currently have a strong and expanding global footprint, differentiating new products in the R&D pipeline, acquisitions that support and strengthen our blood management solutions and an increasingly advantageous cost structure and the broadest array of products and services in the blood industry. With consolidation, emerging national competition for blood components will drive the adoption of technology for competitive advantage. The fact that there are hospital customers who are implementing blood management initiatives creates the imperative for blood collectors to address their total cost structure to keep pace. Blood centers must impact the total cost involved in collecting a unit of red cells, not just what they paid for a consumable kit. As they advance their technological capabilities to do so, Haemonetics' suite of products, software and services are the logical choice to bring them the differentiation they need to compete successfully. As such, we're uniquely positioned to meet the needs of our customers in this rapidly changing market, capture market share and drive sustainable, profitable growth. In summary, growth in our portfolio is in the identified growth drivers in which we invested, and the offsetting declines are attributed to the accelerated impact of patient blood management in the U.S. While these declines are expected to continue through fiscal '15, we also expect to benefit from share gains during this same period. The fundamentals of our business remain strong, as does our resolve to bring new solutions to market that are critical to customers and are focused on reducing costs and improving patient care. Our Value Creation and Capture initiatives put us in a great position to further transform our industry. Again, I'll close by thanking our employees for all they do to ensure we take care of our customers' needs. Together, we and our customers are bringing blood management solutions to the doors of patients we serve and participating in the improvement of patient care. With that, we're happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Dave Turkaly with JMP Securities.
David L. Turkaly - JMP Securities LLC, Research Division: Just one high-level one to start. Obviously, operating margin is strong, revenue a little light. And looking ahead, maybe you're going to maintain there. If -- we've been talking about, in this space, a lot kind of revenue challenges. If the top line is, let's call it, organically 1 to 3, are you guys still comfortable, confident, given what you did this quarter, given the cost-savings programs that you can get to double-digit earnings growth ahead?
Brian P. Concannon: Dave, this is Brian. And the answer to that question is yes, unequivocably. Realize what we're doing, we -- well, if you take our revenue -- and I really wanted to be careful to break it down into its pieces, we've got a portion of our business that we've invested in. Blood-management focused, emerging-market focused, new technologies, and it's growing rapidly. We're being affected by a market decline, a market decline we thought would take a much longer period of time. Frankly, that bodes well for us. The fact that this is going to happen in a shorter period of time is really causing customers to act differently. Thereby, seeking solutions that are important for them to bring to their end customers, the same hospital customers we serve. So, yes, I feel very confident in our ability to continue to do that. And it's causing our blood center customers to look and act differently in this space as well, recognizing that still -- that single-source suppliers is something for the future, not unlike what we saw in the plasma environment. And I think our VCC initiatives allow us to compete very aggressively for that business.
David L. Turkaly - JMP Securities LLC, Research Division: And just a quick follow-up then. I know you mentioned with the VCC and the blood management solutions, the opportunity for share gain. It appears, so far, with whole blood, we probably haven't seen that yet. So I imagine looking ahead to fiscal '15, you're anticipating that this is going to offset some of the challenges you see from a lower collection in the U.S.
Brian P. Concannon: Yes, that's what we're signaling. There are some large tenders that are going to be up for grabs as we go through the rest of this fiscal year. These are customers that are consolidating, acting differently and they recognize that they need to come to that market differently. But these tenders are not just going to be for product. I think we're going to see tenders that are going to be uniquely written for putting our blood centers in a position to compete for their customers' business differently in the future.
Operator: Your next question comes from the line of Jim Sidoti with Sidoti & Co.
James Sidoti - Sidoti & Company, LLC: Can you just give a little more color on the approval of SOLX with the Pall filters, you said that was on track for fiscal '15. Does that mean on track for a submission, on track for approval? And when do you think that will start to generate revenue?
Brian P. Concannon: Well, what we signaled, Jim, is that it's on track for approval in fiscal '14. And that the approval in fiscal '15 is with the filter technology we acquired in the acquisition last year. So there's really 2 things that we're talking about approval there, and those are no different than what we've said before. Chris, would you add anything?
Christopher J. Lindop: Nope. That's...
James Sidoti - Sidoti & Company, LLC: So when will you have Pall filters and the SOLX approved together?
Brian P. Concannon: Fiscal '15.
James Sidoti - Sidoti & Company, LLC: And so you should start generating revenue sometime in fiscal '15 for that product?
Brian P. Concannon: As long as the FDA schedule remains on track, Jim, that's what we expect. Yes.
Operator: Your next question comes from the line of Larry Solow with CJS securities.
Lawrence Solow - CJS Securities, Inc.: Brian, just on the market, sort of the acceleration and the dynamics and the contraction in transfusions and collections. With the 8% declines or high single-digits, however it turns out to be over the next couple of years, do you see that -- with the acceleration does it sort of ramp up faster? So as you look out into '16 and beyond, do you see the market sort of flattening or do think it continues to slowly drip out?
Brian P. Concannon: There's a -- so what are we saying, Larry? We're saying we expect this to happen over the next 2 fiscal years and flatten out. Could you see a little bit of a lag in '16? We'll see when we get to '16. But, no, what we're saying is -- and what the experts are telling us, is they expect this market to get down to best demonstrated practices that are similar to what we see around the world in terms of transfusion practices. You see, around the world, transfusion rates that are in the 33 per 1,000 population, and we expect to see the U.S. down around that level by the end of fiscal '15.
Lawrence Solow - CJS Securities, Inc.: Okay. And would some of your -- I realize that you're ramping up expenses in the back half of the year. Is most of the overall reduction in expenses for the year mostly variable comp and nongrowth-type stuff that you won't have to, inevitably, make up in '15 and beyond? Or is it something that you'll eventually have to make up?
Brian P. Concannon: Well, variable comp, we have to make up. I mean, let's be honest. But we've also -- it's important to realize, we've made some changes in the past because some people have said, "What does variable comp mean to the long-term health of any company?" And it's important to recognize that we put in place some protections that protect people in our bonus pool that are at lower levels in the organization, consistent with what other companies do and how they manage it. For me, this is more of a challenge this year, Larry, because when I look at what's happening to our revenue and our operating income, which is what our bonuses are based off of, this is a year where it's less on execution and more on the market dynamics. That's a challenge. We make no excuses for it. We take the good with the bad, but that's affecting the senior leadership team in that way. We understand and appreciate what it means, but that's something that will be need to be made up for the future. In terms of the rest of the expenses, they are the types of expenses that are consistent with -- when you see revenue reduce, those triggers we can pull to address the expenses associated with that. Importantly, we're not cutting back on those parts of our business that are important to drive growth, which is our growth initiatives and R&D. We had an uptick in R&D spending this year. We're going to continue to spend that uptick because, I think, that's important for the outer years as we start to capture greater market share.
Operator: Your next question comes from the line of David Lewis with Morgan Stanley.
David R. Lewis - Morgan Stanley, Research Division: A couple of quick questions here on whole blood. I guess, the first thing -- I'm trying to reconcile the earnings release versus some of the nice reconciliation you gave us in some of the charts. In whole blood performance for this quarter, it's 9% constant currency, is that an organic figure? And that number slipped sequentially, is that simply seasonality? But year-on-year organic is 9% or that 9% is constant currency?
Christopher J. Lindop: Most of the business is U.S. dollar business and we obviously didn't have a full quarter last year.
Unknown Executive: David, I believe what's represented on the website is the contribution to the total corporation's growth. And so it's just a -- it's a smaller relative contribution this quarter because we had some of the business in Q2 last year.
David R. Lewis - Morgan Stanley, Research Division: Okay. Do you have a sense of what whole blood organic growth was year-on-year?
Christopher J. Lindop: It was probably down, David, just because of the lost tender.
David R. Lewis - Morgan Stanley, Research Division: Okay. And then, second, just a follow-up question on the lost tender. Can you just give us some more detail about that particular tender? I think you've given us the size, but in terms of when it sort of became known? Who we lost the tender to? And vis-à-vis can we get some of that business back next year or is it a multi-year tender?
Christopher J. Lindop: It's a multiyear tender. You'll recall it was around $12 million, very nominal profitability. So we don't have any expectation of getting it back in the next 2 to 3 years. But it's one of many, many opportunities.
Brian P. Concannon: And it was one, David, that we were aware of during the due diligence when we did the deal.
Operator: Your next question is from the line of Larry Keusch with Raymond James.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Brian, can you, obviously, emerging markets is a bright spot for you guys. Can you remind us again how large that is in total? And you've been calling out China and Russia, I'm just trying to get a sense of sort of their contribution and the margin profile of those businesses?
Brian P. Concannon: The emerging markets for us, Larry, we -- it's about $120 million in total. And the margin profile, pretty consistent with our base business as we look at it today. But think of that emerging markets, the BRIC countries -- Brazil, Russia, India, China, make up about $90 million of that $120 million.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Okay. Perfect. And then, I guess, the other question, Brian, is in your last Analyst Meeting, you talked about 10-year organic CAGR on sales of 6%, and I guess over the last 5 years, the organic growth has been closer to 5% and now you're looking at 2% to 4%. And again, I recognize all the external issues that are going on. But do you think your organic business really, over the next several years, can be a mid single-digit grower? Are we really now thinking more about a low single-digit grower for the organic business?
Brian P. Concannon: Yes, Larry, and what that was 5.6% over 5 years, is what we talked about. And the answer to that question is, yes. This is all about capturing share in this new blood management environment. It's something that you probably can hear confidence in our voice here, and it's not meant to do anything else other than to indicate we feel very these market dynamics, while certainly short-term impactful, they're going to put us in a much better position to compete. The discussions we're now having with customers are very different than the conversations we had as little as 12 months ago about what's important for them. Our blood center customers recognize that they need to become more relevant in this space. You see things happening that are very different than what you've seen in the past. You just saw, a few weeks ago, a recent announcement of a very large health system in Maine that is now buying blood from a blood collector in the Pacific Northwest. And that blood collector is a customer of ours, who uses our BloodTrack product. And so they are committing to not only reduce cost of product provided, but they're also providing that blood -- committing to provide that blood at an age no greater than 7 days old. So these are changes that weren't even dreamed about 12 months ago. So I like very much where we're at in the space.
Operator: Your next question is from the line of David Roman with Goldman Sachs.
David H. Roman - Goldman Sachs Group Inc., Research Division: I know this has been asked a few times. But maybe, Brian, you could go into a little bit more detail and I -- about why you think the declines in whole blood stopped at the end of this fiscal year? What is it -- is it that you think this is going to be a one-time correction in the market and something's going to change from an end-user demand perspective? Or is there something you're doing specifically in your business that's going to accelerate your market share gains? I'm just trying to get some perspective as to the temporary nature of this change in business performance and then why you put sort of an end factor on it as FY '14?
Brian P. Concannon: Yes, I think, there's really 2 questions there, David. First of all, we expect these market declines to continue through FY '15. But we expect to be able to temper that in FY '15 through share gains. There's a fair amount of business that's going to be up for tender and we very much like our position in pursuing that business considering what we're doing, not only in terms of our cost position with our VCC initiatives. So how do we compete on price, protect margins? There'll be somewhat of a lag there. But I like what -- the fact that we were well prepared, already making that happen, is a very good thing for us. And the offerings that our customers are now talking to us about. Offerings that they see as important to their end customers, the hospital customers, the same offerings we're trying to bring to them today, are things we spent the last 5, 6 years developing. And so the dynamics in this market are causing discussions to be had that, as I said earlier, we weren't having 12 months ago.
David H. Roman - Goldman Sachs Group Inc., Research Division: And how do you keep the conversation from not just being about price?
Brian P. Concannon: Well, as you and I both know, in this day and age of Health Care Reform, price is entering into the game. So I like to say it this way. We're going to win the business on price. We're going to keep it and improve the stickiness of the business, not unlike what we did in plasma with what we do from a blood management standpoint. There are so many similarities between what we did in the plasma market to what is now taking place here. We expected this to happen over a much longer period of time. I do not think that's going to be the case now. I think it's going happen over a much shorter period of time. I think that bodes very well for us.
Operator: Your next question is from the line of Steven Crowley with Craig-Hallum.
Steven F. Crowley - Craig-Hallum Capital Group LLC, Research Division: A couple of questions for you. First of all, one of the challenges that I'm having, I'll speak for myself, is that you have prompted the tornado to begin in terms of blood management solutions, psychology actions on the part of your hospital customer base. It clearly is happening given the commentary you're giving us about better management of blood by hospital customers and lower transfusions. But you guys are the leader in blood management solutions. You've got a franchise -- if I combined your hospital disposables revenue with your software revenue of about $200 million, I think $201 million last fiscal year, that's looking like it's going to be $201 million this year in the middle of the tornado. How -- help us understand how this has happened and what it looks like in the future? How you capitalize on getting the market to change the way it operates?
Brian P. Concannon: Well, the market is going to change and it's going to change rapidly, Steve. I think that's something that we all see happening. Markets are going to move based on lots of pressures. Yes, I think, we have been a leader and a proponent of blood management solutions, but there's a lot of different factors that are out there. In the hospital space, a multitude of factor is taking place. When you think about what is driving lower blood use in hospitals. Transfusion triggers that used to be in the 8 to 10 range are now in the 7 range. Those are very consistent with what we're seeing in Europe. And so, that's creating dynamics of product use in hospitals that are different today than they were yesterday. So it's a shift that's taking place in both aspects of our business. But what else is taking place there? You see what's happening with SafeTrace Tx and BloodTrack in the contracts with HCA. These are starting to build momentum for us. I like what's happening there. And as we've always said, software will be the enabler of blood management. And that's -- this is a leading hospital group that is embracing that technology to continue to use information to better manage something that's a very high cost for them. So that's what you're seeing happen is that both sides of this equation will be influenced by it, but it's going to stabilize and it's going to increase. And in emerging markets, you're going to see our hospital products continue to accelerate, because the emerging markets are seeing opportunity here a little bit different because they don't have enough blood to meet the current demand, and so those products will continue to serve us well on those markets.
Steven F. Crowley - Craig-Hallum Capital Group LLC, Research Division: And then in terms of your initiatives in value creation and in some of the new product paradigms for blood collection and whole blood collection. There's a discussion of pricing now that seems -- a pricing competition that has expanded from seemingly a couple of quarters ago of localized, country-specific to on a much broader basis. So my concern is that a number of your initiatives at the company, and initiatives in the product line, are going to make up for lost ground and not really be additive to your equation. Kind of the same way we've seen the phenomenon work in blood management.
Brian P. Concannon: I think you got cut off there, Steve. But -- so I think your question is really what can we expect about the VCC initiatives contributing for the future. There's no question that we'll see some pricing pressure over these next couple of years, especially as we will compete on price today, and our VCC initiatives will take place over a 3-year period of time. There's no question about that. But this is where we execute extremely well. As you can imagine, there's a number of things that we planned for in this space. We're finding new opportunities every day as we continue down this path. We'll give you more exposure to that at our May investor conference. But a better way to answer this question is, do we think that our cash flow guidance that we've provided, in other words, that enterprise value creation that we talked about at our May investor conference, do we think that still exists today? The answer to that question is, yes. Absolutely. There's going to be some short-term challenges we'll have to face in that, but I like our ability to capture share more rapidly and I like our ability to get after more VCC initiatives and issues that we haven't even talked about publicly to this point.
Operator: Your next question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein - William Blair & Company L.L.C., Research Division: I'm curious, as you go back to kind of 6 months ago and the discussion around the Analyst Day of, however many months ago that was at this point, what do you think it was that really started to boulder the kind of move here a little bit, as it relates to the blood center side? I mean, what was the catalyst that you think that drove this? And why do we think that down 5% to 8% is still the right way to think about it? Why is it potentially not down 8% to 12% for the next couple of years? Can you talk about what your confidence level is around that?
Brian P. Concannon: Yes. What do I think started it, Brian? I think the Affordable Care Act, pressure on hospitals, costs of care, the pressure of the hospitals found themselves under. The fact that blood is a supply budget component was a very significant portion of that. They started looking at how medicine and transfusion medicine practiced around the world and recognized that in many parts of the world, you're looking at transfusion rates per 1,000 that are much less than where we are today. If you think about us in the 40 per 1,000 range. You've got the U.K. at 33. Just north of the border, we're under 21 in Canada. Australia is under 29. So you're seeing comparable rates around the world that are significantly less. And that is changes in protocols in hospitals which take transfusion triggers from 8 to 10, down to 7 today. I recently had a meeting with 7 CEO customers, all of them who talked about this phenomenon and what they were doing to address that. So I think that's the catalyst that drove it. Why do I have confidence that we think we've framed this? I think our blood center customers are understanding their hospital customers much better today than in the past. In other words, the forecasting piece. Now I don't like what we saw on the plasma side of the business when it first started and our ability to forecast in that space. It was a little bit challenging in the beginning. But I think that the market and the industry is getting their arms around the direction of where this market is going. Dramatic change is happening. There's only so much speed at which that change can happen. With 6 month left in the year, I think we've properly sized this. Could it shift a little bit? Probably. That possibility exists. But I think we've given ourselves some space to consider that.
Brian Weinstein - William Blair & Company L.L.C., Research Division: Okay. And then can you guys give any commentary on kind of what you're seeing on the acquisition front? You guys have talked about having a big portion -- or I think it's about $70 million or $80 million, Chris, is what you guys have talked about, in the kind of your 5-year plan, talk about kind of what you're seeing in that environment and any update there?
Christopher J. Lindop: Sure. The target we're setting is about $100 million in organic revenue over the 5-year plan. And we continue to evaluate opportunities within our space all of the time. We're busy just now with VCC, so I don't anticipate anything happening within the next 9 to 12 months. But after that point, we'll be a teeing things up.
Brian P. Concannon: And then, what I'd add to that, Brian, is what Chris says, anything happening or anything of significance. We're constantly looking at opportunities around tuck-ins and things of that nature, new science that exists out there. As we've said many times before, the good news is that we get some phone calls now that we weren't getting 5, 10 years ago from companies that are out there today in our space that have some pretty interesting science and pretty interesting products.
Operator: Your next question comes from the line of Raymond Myers with Financial Partners.
Raymond Myers: Brian, it sounds like we were prepared for some volatility in the U.S. blood management business. You talked about the Hemic Cell [ph] initiatives of the 5 large blood collectors consolidating, it sounds like both a great opportunity but also, potentially a large risk from an investor viewpoint. What gives you the confidence that Haemonetics will come out the winner in this new volatility? And if this isn't a -- something we should be concerned about as additional risk.
Brian P. Concannon: Yes, Ray, I think when you look at this, these 5 customers are pretty proactive forward thinking institutions in the blood collection industry today. Our conversations with them have accelerated beyond just the price of the collection of the kit. If you think about, today, just think about it in simple terms, when you look at some of the studies that have been out there, done by some of the leading experts in blood management at the hospital space. What it costs a hospital, by the time that they finally transfuse a unit of blood, that it's $1,000 plus per unit. When you think about a blood product the goes from nothing when a donor walks in the door to $1,000 by the time it's transfused, these are collectors who are thinking about that total space. So if you think about the cost of a collection kit, okay? Today, on average, out there in the high teens and that's going to come down. That's such a small portion of the opportunity that is represented for our blood center customers to impact the blood supply chain in the future and those are the conversations that we're having with people. And those are the same things we've been focused on for the last 4, 5, 6 years, both in terms of the products we're developing in R&D and the pathways we've taken in acquisitions. So the conversations we're having are very, very positive along those lines.
Raymond Myers: Outstanding. And then maybe a last question, if I could, about your cost structure. You've invested quite a bit to lower your cost structure and improve your products and services through this value-capture initiative. To what extent is your cost structure different than that of your competitors?
Brian P. Concannon: When you think about what we're doing -- there's a couple of things that we're doing. We're moving to low cost regions, which our competitors have done. So in some respects, we're doing some things that have already been done in the past. But we're doing it with a focus on business continuity that is absolutely critical to the future of customers in this industry. Especially when you think much like what happened in plasma, these are customers that now, as they go forward with a single-source tender, that becomes important. The second is, is think about what we did strategically. We bought the transfusion medicine business from Pall. It put us into this space, a good place to be. But don't forget that we got the filter technology with that acquisition, and that's something that we now own, and our competition, for the most part, many of them do not. So that not only puts us in an important place from a cost standpoint, but it also puts us in an important place from an R&D standpoint, technology standpoint, how that becomes a factor in what we look at in the science of our industry. I also want to mention that we've improved significantly from a quality standpoint. We've invested a large amount of money -- you guys know that, a lot of money in the infrastructure of our business. And so that has served us well from a quality standpoint. That information is public. We have some competitors that are bit challenged today from the FDA in some of the things that they're doing. So I like the position that we're at and what we're doing here.
Operator: Your next question comes from the line of Erica Layon with Benchmark.
Erica Layon - The Benchmark Company, LLC, Research Division: I was wondering if there's anything that needs to happen for you to be able to bring the share gains here with the SOLX acquisition certain efforts in VCC effort? Or if you just expect it will take until fiscal '15 for the value change to really drive these share gains?
Brian P. Concannon: Well, what it's going to take, is for us to win these, is that we have to be competitive upfront. And some of that will be in advance of some of the benefits we're going to gain in terms of our VCC initiatives. But don't think customers aren't looking at SOLX for the future. When you have tenders that go out 3, 4, 5 years that cut you out of new science for the future, those are important considerations that our customers are having. And those are conversations we're having with them about what does that mean for them in 2 years?
Erica Layon - The Benchmark Company, LLC, Research Division: Okay. That is definitely helpful. And as you're looking to these more concentrated contracts, either with the Red Cross or at Hemic Cell [ph] or potentially with other hospital alliances, is this something where -- that you expect the tenders to happen on an annual basis or on a larger lag time?
Brian P. Concannon: There's a bit of business that's coming up for tenders on the back half of this year, some very significant tenders that exist out there. But these tenders will be tenders that are going to be 2 to 3 years, minimally, and some of them will likely be even longer than that. Not unlike what we saw in the plasma business, I don't think we'll see them for as long as plasma. But I think were going to see dual-source agreements go more to a single source or a very large majority of the business, and I think it will be for longer periods of time.
Operator: There are no further questions at this time. I'd now like to hand the call back over to Brian Concannon for any closing remarks.
Brian P. Concannon: Thank you, Donna. The growth drivers we've invested in last year are fueling growth in a large portion of our product portfolio. This is growth that we expect to continue, growth that gives us confidence in our guidance for the back half of our fiscal year. And the steps we're taking with our VCC initiatives will allow us to compete immediately for market share, while protecting margins in the future. Blood management is here to stay, and our blood center customers are increasingly seeking ways to deliver solutions beyond the price of blood products. The work we've done has positioned us well to respond to this emerging need, helping our blood center customers to be more relevant in bringing new solutions to their hospital partners. The fundamentals of our business remain strong. Our financial strength will allow us to weather this market shift, and our blood management solutions will allow us to emerge with greater market share, share that's gained by leveraging the strength of the solutions we've worked hard to bring to the market these past several years. Thank you, all, for your time this morning.
Operator: This concludes today's Q2 FY '14 earnings release. You may now disconnect.